Operator: Good day, ladies and gentlemen, and welcome to the Enphase Energy's Third Quarter 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. [Operator instructions] Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, today's conference is being recorded. I would now like to introduce your host for today's conference Ms. Christina Carrabino. Ma'am, please go ahead.
Christina Carrabino: Good afternoon and thank you for joining us on today's conference call to discuss Enphase Energy's third quarter of 2017 results. On today's call are Badri Kothandaraman, Enphase President and Chief Executive Officer; Bert Garcia, Chief Financial Officer; and Raghu Belur, Co-Founder and Chief Product Officer. After the market closed today, Enphase issued a press release announcing the results for its third quarter ended September 30, 2017. During the course of this conference call, Enphase management will make forward looking statements including but not limited to statements related to Enphase Energy's financial performance, market demand for its current and future products, advantages of its technology and market trends. These forward-looking statements involve significant risks and uncertainties, and Enphase Energy's actual results and the timing of event could differ materially from these expectations. For a more complete discussion of the risk and uncertainties, please see the Company's annual report on Form 10-K for the year ended December 31, 2016, which is on file with the SEC, and the quarterly report on Form 10-Q for the quarter ended September 30, 2017 which will be filed with the SEC in the fourth quarter of 2017. Enphase Energy cautions you not to place any undue reliance on forward-looking statements and undertakes no duty or obligation to update any forward-looking statements as a result of new information, future events or changes in its expectations. Also, please note that certain financial measures used on this call are expressed on a non-GAAP basis, unless otherwise noted, and have been adjusted to exclude certain charges. The Company has provided reconciliations of these non-GAAP financial measures to GAAP financial measures in its earnings release posted today, which can also be found in the Investor Relations section of its website. Now, I'd like to introduce Badri Kothandaraman, President and Chief Executive Officer of Enphase Energy. Badri?
Badri Kothandaraman,: Good afternoon and thanks you for joining us today to discuss our third quarter 2017 financial results. So, we had a good quarter. Our 30, 20, 10 transformation is going very well. We were almost breakeven in non-GAAP operating income during the third quarter and we have stabilized our cash position. We reported revenue of $77 million for the third quarter of 2017, an increase of 3% compared to the second quarter of 2017. We shipped approximately 231 megawatts or 790,000 microinverters. Our GAAP gross margin was 21.4% and non-GAAP gross margin was 21.8%. Our focus on operational excellence resulted in gross margin expansion, lower OpEx and overall improvement to our financial position in the third quarter. We're laser focused on further gross margin improvement through supply chain optimization, new product introduction and pricing management and are on track to reach our 30, 20, 10 target operating model by the fourth quarter of 2018. Bert will go into greater detail about our financial results later in the call. So, turning to our market. The third quarter revenue in the U.S. was up 2% sequentially. We completed the transition to IQ 6 product for our U.S. and Latin American customers during the quarter and nearly all fourth quarter inverter shipments to these regions will be the IQ 6 products. Shipments for AC module product also increased sequentially. In the Latin American market, the third quarter revenue was down 9% sequentially as a result of the devastating hurricane in Puerto Rico at the end of the quarter, which impacted overall shipments to the region. We look forward to playing a key role in the future as the island rebuilds and diversifies its electrical infrastructure. Raghu, our Chief Product Officer will provide details later in the call on a key technology that will be central to this effort. In the APAC region, the revenue increased 35% sequentially as the demand for our products continued to grow. We established new partnerships with distributors, installers and module manufacturers in India during the quarter resulting in our first shipments to the region. In Europe, revenue was up 3% sequentially and 114% year-over-year. The third quarter was a record quarter for unit shipments and revenue in the region as we continue to grow our customer base. Moving on to products, we believe the IQ 6 microinverter system and our AC modules will help drive profitable growth with new and existing partners, thus increasing our share of market. We remain focused on operational blocking and tackling to achieve this goal. With the introduction of what IQ 7 product in the first quarter of 2018, we expect to grow revenue by increasing out served available market. IQ 7 will be a single world-wide product skew that allows us to penetrate new markets in Europe, Asia Pacific and Latin America, while also helping to drive gross margin expansion. In summary, we are pleased with our overall progress during the past three months. My top priorities over the next six months are to improve cash flow, further expand gross margin with the introduction of IQ 7 worldwide and achieve sustained profitability, creating a solid financial foundation. We will also continue to provide customers with the value, quality and customer service they’ve come to expect from Enphase. With that, I would like to turn the call over to Raghu, our Chief Product Officer to provide an expanded update on our products.
Raghu Belur: Thanks, Badri. As part of our commitment to deliver increased value to our customers, we transitioned over the past few quarters from our M-series to our IQ series product. IQ is an integrated solar, storage and energy management platform that enables self-consumption and delivers our core value proposition of yielding more energy, simplifying design and installation and improving system availability uptime and reliability. In addition, IQ provides advanced grid functions that are capable of meeting worldwide regulatory requirements. IQ also enables our AC module product further simplifying the installation process, reducing installation time and streamlining logistics. IQ 6 delivers more power and higher efficiency, while further reducing the balance of system cost due to its simplified wiring, reduced size and weight. Much of IQ 6 performance was achieved by silicon integration with our new ASIC. With IQ 7 we will yet again offer greater power and a smaller, lighter and easier to install product. What is unique about our IQ 7 is that it's a single worldwide skew, achieved as a result of our software defined architecture. Similar to IQ 6, we have developed a new ASIC for IQ 7 that enables greater semiconductor integration. Solar plus storage, which includes our AC battery product is central to our product strategy. Our storage business continues to expand worldwide because of the unique features of our AC battery solution. We believe the storage market will continue to improve over the next 12 months as cost come down and as utilities better understand how to incorporate distributed storage on to the grid. Now let me talk about our next generation IQ 8 product expected to be introduced in 2019 based on our always on technology called Ensemble. One of solar's biggest challenges is that it is grid tied. What this means is that if the grid fails and the sun is still shining, there will be no production out of your solar system. Most customers are unaware of this limitation with today's solar technology. So, to address this limitation we have invented a microinverter technology that is completely grid agnostic. This means that even if the grid fails and there is sufficient sunlight, the Enphase system will continue to produce energy and meet the demands of the home or business. The Enphase microinverter system's capabilities further enhanced when the Ensemble technology is incorporated into our AC battery storage solution. With IQ 8 you can have a system that will continuously produce energy, regardless of the presence or absence of the grid that is storage during the day -- sorry, solar during the day and storage at night. That is what we mean by always on and it can address challenges like those experienced in Puerto Rico, other island nations and countries with weak grids. We also believe IQ 8 will grow our total addressable market worldwide. For example, there are over 1.2 billion people with limited or no access to energy in regions such as India and Africa. IQ 8 is uniquely positioned to address the energy challenges inherent in these and other regions of the world. We'll continue to update you on IQ 8's progress over the coming quarters. Now I'll turn the call over to Bert for his review of our financial results.
Bert Garcia: Thanks Raghu. I'll provide more details related to our third quarter 2017 financial results as well as our business outlook for the fourth quarter. As a reminder, the financial measures that I am going to provide are on a non-GAAP unless otherwise noted. Total revenue for the third quarter of 2017 was $77 million, an increase of 3% sequentially. Total net revenue per DC watt was unchanged from the prior quarter, reflecting relatively stable ASP's. On a year-over-year basis, total net revenue for DC watt decreased by 11%, directionally consistent with the broad reduction in ASP's. We shipped approximately 231 megawatts DC in the third quarter 2017, an increase in megawatt of 3% sequentially and a decrease in megawatts of 3% on a year-over-year basis. The megawatt shipped represented 790,000 microinverters, approximately 6% of which were our new IQ microinverter system. As Badri mentioned, we completed the transition to IQ 6 product for our U.S. and Latin American customers during the third quarter and as a result nearly all fourth quarter shipments to these regions will be our IQ 6 product. Non-inverter revenue which includes our 18-battery storage solution, Envoy Communications Gateway and all accessories, was consistent as a percent of revenue with our prior quarter results. Non-GAAP gross margin for the third quarter of 2017 was 21.8% compared to 18.4% in the second quarter. Non-GAAP gross margin excludes approximately $347,000 of stock-based compensation. The improved gross margin reflects the transition to our IQ microinverter system in North America as well as the improvements to-date that we have implemented on our supply chain optimization initiatives. The improvement to our gross margin was slightly offset by approximately negative 1.8% related to expert IPs that we incurred as a result of industry-wide component shortages mentioned on our Q2 call. Non-GAAP operating expense decreased $865,000 sequentially from $17.8 million in Q2 to $16.9 million in Q3. As compared to the year ago quarter, we reduced non-GAAP operating expense by 41% or $11.7 million, reflecting the cumulative impact of restructuring actions and operational efficiencies we've implement. Non-GAAP operating expense in the third quarter of 2017 excludes $4.1 million of restructuring charges and $1.4 million of stock-based compensation expense. On a non-GAAP basis, income from operations was essentially breakeven with a loss of $102,000 compared to an operating loss of $4 million in Q2. We're extremely pleased with the progress we've made on operating income and have increased confidence in our ability to achieve non-GAAP operating profitability in the fourth quarter. Our non-GAAP net loss was $964,000 resulting in a loss of $0.01 per share compared to a net loss of $6.6 million in Q2 or a loss of $0.08 per share now. Now turning to the balance sheet, inventory levels were $25.3 million for the third quarter compared to $20.8 million in the second quarter and $39.1 million in the year ago quarter. Inventory levels increased from the second quarter, primarily a result of the timing of shipments. We exited the quarter with a total cash balance of $28.9 million, a slight decrease from the Q2 balance. We expect to be cash flow positive in the fourth quarter. Now let's look at our outlook for the fourth quarter 2017. We expect our revenue for the fourth quarter of 2017 built in a range of $72 million to $80 million. Turning to margins, we expect GAAP and non-GAAP gross margin to be within a range of 21.5% to 24.5%. Note that our Q4 gross margin guidance includes the negative impact of higher expedited fees resulting from industry-wide component shortages. Non-GAAP gross margin excludes approximately $300,000 of stock-based compensation expense. We expect our GAAP operating expense for the fourth quarter to be within a range of $19.5 million to $21.5 million and non-GAAP operating expense to be within a range of $16 million to $18 million excluding an estimated $1.4 million of stock-based compensation expense and approximately $2.1 million of additional restructuring expense. I'll note that we do not expect to incur significant restructuring expense beyond the fourth quarter. At the midpoint of our guidance range, we expect to be profitable on a non-GAAP operating income basis in Q4. With that, I'll open up the line for questions.
Operator: [Operator instructions] Our first question comes from the line of Eric Stine with Craig Hallum. Your line is now open.
Eric Stine: Hi everyone. Thanks for taking the question or the questions. Maybe just starting with the AC modules, maybe just some commentary on early returns and are you still targeting an additional module partner by the end of the year?
Badri Kothandaraman: So, let me give you some color on AC module. This is Badri. We started shipping AC modules to LG in the second quarter of 2017. We said in the June Analyst Day Presentation, that we shipped about 18,000 units to LG. Our shipment increased sequentially in Q3 of '17. LG if you know introduced the IQ 6+ neon AC module in July. That product is making its way through the channels now. It's too early to say but we've done a lot of interviews with the installers and those interviews have been -- those interviews have been very encouraging. There is clear savings on installation time as well as streamlined logistics on the ACM. We announced the Jinko Eagle in IQ 6 AC module at SBI and we expect to start shipping that shortly. We also announced Waaree, a module partner in India. We are working with a few other partners as well and will announce when we're ready.
Eric Stine: Okay. Sticking with India with Waaree, is that a little bit different version of what you're able to talk about? Is that a little different version or scaled-down version versus LG or Jinko and if so, is that something that you're working to replicate with other partners in different markets?
Badri Kothandaraman: No, it's not a scale down or a different version. We have a AC module product strategy and it is in line with all the other partners as well, the only difference being LG would be -- is a 60-cell module and Waaree will be a 72-cell module because in India primary the market segment is 72. What's really good is that the IQ 6 Plus blood and the IQ 7 Plus product works on the same product works on both 60 cell and 72 cell module.
Eric Stine: Got it. Okay. Thanks for that color. Maybe last question for me. Just an update on installer trends, you mentioned the good feedback you're getting early with LG, but clearly things moving to Tier 2 and Tier 3 installers. So just any thoughts or color there would be helpful, thanks a lot.
Badri Kothandaraman: Yeah, we're continuing to reach out to all the installers who have either done the installs as well as we are on roadshows collecting data and the feedback has been pretty consistent. The value is there, the installed time value, logistics value, the good matching between the power production because of the inverter and the module being closely matched. And then quantitatively speaking, good quality installed as well because it's a very fast and very clean install. So, lot of outreach is going on. We're on the road right now showing it to all number of the longtail installers as well. So, the feedback has been good.
Eric Stine: And just market share there, just overall share with Tier 2 and Tier 3. Any thoughts on how that's trended. I know you gave an update at the Analyst Day but maybe anything that might be refresh over the last couple months?
Badri Kothandaraman: No, it's too early to tell at this time.
Eric Stine: Okay. Thank you.
Operator: Our next question comes from line of Brad Meikle with Coker Palmer. Your line is now open.
Brad Meikle: Hey guys. Good afternoon. First question is do you think that the revenues you were able to achieve this quarter were limited by the 201-case impact, which has increased module prices and made them more scarce in some cases and also due to the component shortages that you have?
Raghu Belur: So, hey Brad. No, I think there's been a lot of concern around the 201 case and as I think everybody saw, the preliminary recommendation that were made were certainly looking punitive than everybody was expecting, but that's good news. That said, looking at third quarter, we really didn't see any impact related to 201 in terms of revenue shipments. Although the second part of your question was income shortages.
Brad Meikle: If revenue is limited, we're limited by component availability.
Badri Kothandaraman: So, Brad, the revenue was not limited by component shortages, but what we -- but the gross margin was limited. As we noted, the Q3 gross margin was negatively impacted by about 1.8% resulting from expedite fees and those expedite fees were a result of us having to air ships compared to ocean ships. And in Q4 '17 we still see continued present on memories and high-voltage feds and that's why we said, we expect to incur expedite fees in Q4 '17 as well. We are putting in some business processes in place like qualifying multiple sources as mitigation actions, but we really need the supply situation to improve and at this point, we see the situation persisting into the first half of 2018.
Brad Meikle: Yeah, it sounds like lead times have come down already for the feds, but on IQ 7, is there a -- what portion of the market would you say is a high-voltage modules that had not really been suitably served by your power rating on the M280 or the IQ 6, like how much more market does it open up to you?
Raghu Belur: Sure hey, thanks Brad, this is Raghu. One of the nice things about again the IQ 7 being a universal black farm house, like a worldwide skew is that it does open up the market for the 96-cell module as well. So, in that there are a couple of players who are doing 96-cell modules as well. So, Panasonic is now entered the market with a 96-cell product. We already know there's another player here lately who is also a 96-cell product, but the IQ 7 does open up those markets for us as well from a technology point of view.
Brad Meikle: Yeah, yeah, I think it's about a quarter of a third of U.S. residential market probably is that right?
Raghu Belur: Yeah probably upside order or little bit less actually.
Brad Meikle: Okay. And this is last question, thanks for the time, on the IQ 8 could you talk a little bit more about the types of companies that are currently serving this market? I've read about half-dozen that are well-capitalized in Africa doing small 1-10 installations that enable light and some articles have talked about a AC output enabling air-conditioning and refrigeration, which is limited by the current DC output. So, I would love to hear any more about the dynamics of what you see out there in that market?
Raghu Belur: I think it's Africa and there is also India as well. I think there are number of players. Go to market is the problem that needs to be solved there. I think we have solved the technology problem. So clearly there are -- we were seeing that both in India and Africa and in India, there are a number of companies that are working on the go-to-market problem and have had varying degrees of success there. So yes, that are a number of companies that are out there. They're not making any announcements at this time.
Brad Meikle: All right. Thank you.
Operator: Our next question comes from the line of Philip Shen with Roth Capital Partners. Your line is now open.
Philip Shen: Hey guys. Thanks for the questions. First one here is on the IQ 7. I think in your release, you talk about getting that out there in Q1 '18 so what do you expect the mix of IQ 6 and IQ 7 to be starting Q1 '18 and how do you expect that mix to trend as we go through 2018?
Badri Kothandaraman: Just to give you some color on IQ 6, the IQ 6 transition took us three quarters to complete. We expect the IQ 7 transition to take a similar time, may be a little bit lesser. A new product transition as you know is always tough to predict, but we're doing a lot of detailed planning to counter surprises. Having said that the IQ 6 the IQ 7 uses the same balanced system as IQ 6. So that will make it a little bit easier. And also, one more thing is the transitioning for example IQ 7 to North American customers is going to be easier than transitioning wildlife. So, I expect that to be done faster maybe in a couple of quarters compared to world-wide. That might take full three quarters timeframe. So more to come there, but we are planning -- we're doing a lot detailed planning.
Philip Shen: Good. Thanks, Badri and if you can remind us or update us on what kind of margin benefits we should see as you fully transition from IQ 6 to IQ 7?
Badri Kothandaraman: So, as I told you we're focused on building a healthy financial foundation and we are laser focused on gross margin and operational excellence leading to profitability. We told you that we will reach the 30, 20, 10 target operating margin by Q4 of '18 and we are on track to do so. The 30, 20, 10 stands for 30% gross margin, 20% OpEx and 10% operating income. The IQ 7 transition will not only help in improving gross margin, but will also help to expand the served available market into more regions in Europe and Asia Pacific to increase the top line and we also see the ACM as an important driver of the IQ 7 platform. So, with the IQ 7 with all the supply chain optimizations that we are doing, we expect to reach our target operating model by the timeframe that we said, which is Q4 of '18.
Philip Shen: Okay. Great. So, moving the question to the top line that I think you blended ASP decline in the quarter was roughly 12% year-on-year, do you continue to expect that rate of decline. I think that was for Q3. So, do you continue to expect that for Q4 and what are you seeing now for Q1 and what do you expect for 2018?
Badri Kothandaraman: Well for 2018 we have a number of factors I'll come to that later, but for Q4 I see the pricing pretty stable at about 2% erosion a quarter. So, in 2018 I have a couple of factors which could contribute to the pricing environment. One is an [Sunny] case. We all don't know what the final outcome is going to be in January. So that could influence that. And the second one is a potential Huawei entry in the middle of 2018. If I pretend that those two were not there, I expect a pretty stable pricing environment, similar to 2017.
Philip Shen: Okay. Good. And finally, as it relates to your non-GAAP profitability, it sounds you are in check for Q4, I know you haven’t provided guidance for '18, but do all signs give you a sense that you can maintain that for '18 and what are the puts and takes maybe just mentioned a couple with the 201 and Huawei, but how are you thinking about profitability as we go through '18?
Bert Garcia: Hey Phil, it's Bert. You're right that we did signal non-GAAP profitability to the midpoint of the range for the fourth quarter. If we transition out into 2018, you're right, we don't provide guidance out that far, but clearly the work we've done to date to restructure is begin to yield significant benefits for us. And if we think about the transition to IQ 7 that's certainly going to continue to help, not only margin expansion but also help grow the topline. As Badri mentioned, the IQ 7 does open up a couple of new markets that's certainly helpful, but bear in mind, a lot of the work we've done around restructuring even here in the tail end of 2017 will continue to bear fruit out in 2018. It's more of a process non-event so to speak. So, we do expect to continue to see benefit from our broad supply chain optimization and our focus and operational excellence also continue to help move margins and profitability along in 2018.
Philip Shen: Great. Thanks Bert. I'll pass it on.
Operator: Our next question comes from the line of Edwin Mok with Needham & Company. Your line is now open.
Edwin Mok: Great. Thanks for taking my question. First just in terms of 4Q guidance, can you talk a little about your puts and takes on that? It seems like your guidance is flattish right and mostly just seasonality in the fourth quarter or do you see the margin recovering after this 201 is settled, do you have any color on that?
Badri Kothandaraman: So, I think what you're seeing in our guidance really is us holding share. So, we're thinking about it, but more importantly what you're seeing at one is some pricing discipline. We're being very, very, very disciplined on pricing, optimizing for profitable to well and that is of course reflected in our topline guidance. In terms of puts and takes again as I mentioned to Brad, I am not seeing any impact from them on our topline that's not really factoring our guidance. So, it really is a factor of us holding share and being disciplined on pricing.
Edwin Mok: Okay. That's helpful. And then maybe talk a little about gross margin, given that you have this excess could happen because of the shortage right, how much impact have you factored out into your gross margin guidance and do you any kind of view when we should start to have this stabilize and you can stop being risky?
Badri Kothandaraman: Yes, so just to level set anything you back in Q3 was about 1.8% impact negative on Q3. We had somewhere between 1% and 2% in Q4 and then expect to start seeing it tailing off into 2018. So, it's a little early in these things. It's not entirely within our control, but our guess right now is that we'll start to see a tailing off of that impact in Q1.
Edwin Mok: Okay. That's helpful. I guess I'll stick with you Badri. I saw on the balance sheet of fees actually going up and then I think cable has also gone up a lot this quarter. Do you expect those to normalize as you in the fourth quarter or would that take some time?
Badri Kothandaraman: Yes, we do expect to normalize and they are somewhat related. So, on the receivables line, it was really impacted by the linearity of sales in Q3 relative to Q2. So that's really what drove the increase there. On the AP side it was actually related to inventory. We had some late receipts of inventory in September that's reflected in the increase sequentially in inventory. It's also in our AP. The other thing that in our AP line that's beyond the inventory and its really part of the work that we've been doing on supply chain optimization and working capital management in particular inventory management is working with our vendors to get returns and you see some of that in our AP in Q3, slight improvement in AP terms.
Edwin Mok: Okay. Great. One last question I had on IQ 7 I think you mentioned 1Q is not launched out and you mentioned it will penetrate some new markets. Is it just software feature that allows you to kind of all this grid in phase for different regions of the world or what allows you to penetrate these new markets and I notice that Japan I mentioned there, where do we stand on Japan?
Raghu Belur: So yes, this is Raghu. The architecture is such that you know it's a digital architecture, is a piece of power electronics, not a big box power. So, both are on our ASICs. So, it is a completely software defined device that allows us to profile to do configure them based on the geography that you're into meeting the connection requirements and the requirements that's correct. Of course, right now we're focused on IQ 7 is our fan expansion plan and Japan is on the roadmap. We're not exactly talking to today about the timing on that, but it does open up, as I said it's a worldwide skew that is capable of being configured for virtually all the geographies. So, we're going to be attacking more geographies over time.
Edwin Mok: Do you see IQ 7 accelerate ACM adoption or are those mutual exclusive?
Raghu Belur: No absolutely, IQ 7 is again it's much smaller, much lower profile. It's actually been designed and architected with the ACM in mind because ACM is absolutely a very key strategy for us. So yes, it does in fact accelerate ACM and accelerate new partners as well.
Edwin Mok: Great. That's all I have. Thank you. Appreciate it.
Operator: [Operator instructions] Our next question comes from line of Colin Rusch with Oppenheimer. Your line is now open.
Colin Rusch: Bert, can you talk a little bit about the pricing dynamics on a regional basis, it looks like if you're flat quarter-over-quarter, but with the growth in Asia, is that offsetting some price pressure in other geographies?
Badri Kothandaraman: Regarding the pricing -- regarding the pricing environment like what I said, we see pricing pretty stable at about 2% erosion quarter-on-quarter. If you ask me what it was for 2017, it was about 7% to 10%.
Colin Rusch: Okay. So, you're seeing a 2% across the Board regardless of regions. Okay. And then with the working capital dynamics, as you guys get into a more robust transposition and operational cash flow, are you seeing opportunities to go back to your suppliers and get better terms and support some of the balance sheet with longer payment terms on the payables line.
Badri Kothandaraman: Yeah, I just mentioned in the last -- with the last caller that one of the driving AP up a little bit sequentially are the better terms You're hitting something that's really important Colin, which is as our financial performance improves, naturally my cost of capital comes down. I expect to see that reflected in terms only with my vendors, but also with our lender. And we're excited about the opportunity to go back and recast some of those relationships in a more positive way.
Colin Rusch: Okay. And then the last question for me is really about the warranty obligations they haven’t really move much here for a little while and obviously you are growing sales. So, can you talk a little bit about some of the reliability data that you're seeing and how those things are rolling off for you guys in terms of the forward risk sure?
Badri Kothandaraman: Sure, I can handle both of those areas. I may ask Raghu to weigh a little bit on the reliability piece. So, I would like to take them in reverse order. On the reliability piece, we're seeing tremendous reliability returns from our current product is really, really performing very, very well. So, the reliability is very high and as a result the returns are understandably low. From a warranty perspective, bear in mind, you're right, our install base is growing but we are relieving the warranty liability as we build it. So, what you're seeing is really the netting of those two things over time. So again, as we ship more units into the installed base, the warranty liability will go up as we settle the warranty obligations for a large and growing install base, you will that liability to come down.
Raghu Belur: And Colin from a product point of view, what's core to our product strategy is semiconductor integration and every generation of product from the M-series to IQ 6 to IQ 7 has been -- we have a new ASIC in there, a new chip in there and what chip does is more and more integration. So, we're in from 1.8 million gauge to 2.8 to 3.8 million gauge now the IQ 7. More integration means just better reliability because you have got fewer and fewer components on it. And internally and all our testing just gets more sophisticated over time, the data that comes back from the field as you know all our systems are connecting. So, we get very high-quality data from the field and our systems are performing. All of that informs the quality and reliability of our product. So, the combination of a semiconductor strategy which is core to Enphase coupled with all of the feedback that we get from the field are you just creates us nice virtuous cycle that's needy of having a digital architecture and power tonics.
Colin Rusch: Great. Thanks, so much guys. I'll hop back in queue.
Operator: [Operator instructions] our next question comes from the line of Pavel Molchanov with Raymond James. Your line is now open.
Pavel Molchanov: Thanks for taking the question guys. Given that Jinko and a few other Chinese companies as your partners do not have manufacturing assets in the U.S. currently. Would anything change in a relationship depending on how the tariff decision ends up coming out?
Badri Kothandaraman: No. We don't expect any significant change there. Again, with the tariffs concerned it's on the module. We don't know all the details as yet, but our expectation is that it won't change. Second, is we also think about ACM as a worldwide skew. It's one just simply a North America skew alone. And coupled with the fact that IQ7 is a worldwide product and it's going also inure at the ACM and we think that the risk is lower manageable.
Pavel Molchanov: Okay. And there was a comment you guys made earlier about the percentage of non-inverter revenue remaining stable quarter-over-quarter if I heard that correctly. Will that percentage in theory increase over time, particularly as battery sales become more meaningful and should it be increasing?
Badri Kothandaraman: It's very intuitive. It should, you're right as ACV become a larger and larger part of a portion of our mix it would be an increasing portion of that non-inverter revenue and mix that's right.
Pavel Molchanov: All right. That's for me. I appreciate it.
Operator: [Operator instructions] Our next question comes from line of Vishal Shah with Deutsche Bank. Your line is now open.
Vishal Shah: Yeah hi. Thanks for taking my question. Just a couple of questions on the pricing environment and the competitive environment, you mentioned stable pricing in the near-term what are your conversations with the customer suggesting its pricing is going to be in the next quarter or and when kind of seasonality are you seeing in the business. And then you mentioned Huawei is rolling out products in the second half of '18. What's the initial feedback you're hearing from the field on that product from your customers? Thank you.
Badri Kothandaraman: As I think about the pricing environment, environment has been pretty stable, it's at about 2% erosion per quarter. For the entire year we have been at about 7% to 10%. Coming to 2018 so there are two factors like what I said again. [Sun Eva] as well as potential Huawei entry. In the case of Sun Eva, the final outcome is not yet out. So, after that we'll be able to see what happens. In the case of Huawei, we don't even understand what their product is yet and once that is announced, we can react better. But let me give you some color on our pricing management, the way we think about pricing is by doing value based pricing. What do you mean by value-based pricing. So, we take the next best alternative, which is offered by our competition and then we think about what value does offer compared to the product next best alternative. For example, in ECM it is installation time saving, it is streamlined logistics, it is improved quality, it is enhanced power production. Then we say here is the value you ascribe to that and we tell the customers that look we'll share some of that value with you. So, we do that -- we do this transactional discussion with every one of our customers and this is transactional pricing, which means it's literally hundreds of lines item every quarter and in some cases the customers doesn’t see the value, then we go and look at what we should do on that case, but there are literally a lot of cases like that. It is a process, it's not an event. We're getting better at it and pricing management is key for us to improve our gross margin and to reach our 30, 20, 10 operating model by Q4 of '18.
Vishal Shah: That's helpful. Just a follow-up on the first quarter outlook, have you seen a slowdown as normal seasonality would suggest or do you think the first quarter this year will be next quarter, next year will be different concerning some of the 201 dynamics. So, thank you?
Bert Garcia: So, as you know Vishal we don't guide beyond the current quarter, but there is no reason to believe that normal seasonality patterns are going to hold and are likely not going to be necessarily impacted by it.
Vishal Shah: Thanks Bert. Thank you.
Operator: [Operator instructions] I am showing no further questions in queue at this time. I would like to turn the call back to Badri Kothandaraman for any closing remarks.
Badri Kothandaraman: Yeah, thank you for joining us today. We're extremely pleased with our progress in the third quarter towards our 30, 20, 10 target operating model. We look forward to speaking with you again on our call next quarter.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program and you may disconnect Everyone, have a great day.